Operator: Good day, ladies and gentlemen, and welcome to Consensus Q1 2022 Earnings Call. My name is Paul, and I will be the operator assisting you today. [Operator Instructions] On this call from Consensus will be Scott Turicchi, CEO; John Nebergall, COO; Jim Malone, CFO; and Adam Varon, Senior Vice President of Finance. 
 I will now turn the call over to Adam Varon, Senior Vice President of Finance at Consensus. Thank you. You may begin. 
Adam Varon;Senior Vice President of Finance: Good afternoon, and welcome to the consensus investor call to discuss our Q1 2022 financial results, other key information and reaffirmation of our 2022 guidance. Joining me today are Scott Turicchi, CEO; John Nebergall, COO; and Jim Malone, CFO. The earnings call will begin with Scott providing opening remarks. John will give an update on operational progress since our Q4 and year-end 2021 investor call, and then Jim will discuss Q1 '22 financial results and 2022 guidance. After we finish our prepared remarks, we will conduct a Q&A session. At that time, the operator will instruct you on the procedures for asking a question.
 Before we begin our prepared remarks, allow me to direct you to the safe harbor language on Slide 2. As you know, this call and the webcast will include forward-looking statements. Such statements may involve risks and uncertainties that would cause actual results to differ materially from the anticipated results. Some of those risks and uncertainties include, but are not limited to, the risk factors outlined on Slide 3 that we have disclosed in our 10-K SEC filing, as well as a summary of those risk factors that we have included as part of the slide show for the webcast. 
 We refer you to discussions in those documents regarding safe harbor language, as well as forward-looking statements. 
 Now let me turn the call over to Scott. 
R. Turicchi: Thank you, Adam. I'm proud of the accomplishments for the quarter and the positioning of the company for the balance of the year. Jim will provide greater details on our financial performance for the quarter, which was a record revenue quarter in the more than 25-year history of this company. Those results were driven by continued strong performance by the corporate business which grew 13% versus Q1 of 2021, 11.1% of which was organic. 
 In addition, this is the seventh consecutive quarter of corporate revenue growth, its seventh straight quarter of ARPA growth, and for the first time, corporate surpassed SoHo as a leading revenue channel for Consensus. With the launch of Clarity late in Q1, additional features in jSign and the integration of certain of Summit's technology, the corporate channel remains well positioned for growth led by more than the majority of incremental revenue coming from the health care sector. 
 Our SoHo channel held its own in the quarter despite FX headwinds of about $500,000 which provided a 1% headwind versus Q1 of 2021. We believe these headwinds will continue throughout the year and are looking at incremental actions to mitigate their effect. 
 We continue to make progress on the ECFax system for the VA. We are working with Cognizante and are on track to meet the authority to operate by the end of September. In addition, we are in the early stages of engaging with the VA for the initial rollout later this year. As we discussed in the last call, we are beginning to see interest from other federal government agencies. We'll have more to share on this in future quarters. 
 I'd like to congratulate our 527 employees on the continued excellent contributions they make as we finish the separation from Ziff Davis, execute on the various organic initiatives that we have outlined previously, and integrate the 34 employees from Summit. Despite the challenging labor market, we've been able to consistently hire talented people into the company and remain committed to building out our team over the remainder of the year. 
 Before handing the call over to John, one final comment on the economic environment. As you are all aware, there are increasing fears of recession later this year or next. We remain highly liquid, having significant cash balances for a company of our size, and we also have a $25 million unused line of credit. We are well positioned for changing economic conditions due to the necessity of our services, the subscription nature of our business, the high fixed revenue component to our business model and the increasing percentage of our business that maps to the health care space.
 We remain confident in our business prospects and reaffirm our financial guidance for 2022. I'll now hand the call over to John for more details on our operations during the quarter. 
John Nebergall: Thank you, Scott. It was an exciting quarter, the first full quarter of stand-alone performance, and one where we made very positive traction in several key areas. In addition to recording our first ever $90 million revenue quarter and marking 7 straight quarters of growth, the corporate team notched an impressive revenue increase and delivered to our expectations.
 Total corporate revenue for the quarter was up 13% from Q1 2021 and up 7% sequentially. On an organic basis, those growth numbers are 11% and 5%, respectively. Sales had a very strong quarter with total sales of $5.1 million of annual contract value $3.9 million of that was organic. The organic sales represent nearly a 24% growth from Q1 of '21 and 21% growth sequentially. The Consensus interoperability suite continues its impressive growth, both in pure contribution as well as its increasing proportion of our sales.
 Unite's year-over-year sales increased by nearly 33% and by more than 30% sequentially. Unite accounted for more than 25% of our overall sales volume for the quarter and advanced interoperability products overall including the Summit suite, were 44% of the Q1 bookings. I want to repeat that, the advanced interoperability products, not fax, were 44% of our Q1 bookings. Solving healthcare's biggest problem is our business' largest opportunity, and we're answering the call. We are excited both by the results and the overall strength of our pipeline and the team continues to work on meaningful opportunities that we anticipate will contribute solidly to this year's results.
 The SoHo base is performing within the expected range with a slight decrease in overall subscriptions. Churn for the quarter was likewise within range and as expected has improved from Q4 and returns to historic levels, even with our quarter 1, 2021 rate. The team is working on marketing initiatives for the balance of this year. We expect to continue delivering within performance expectations. We were able to work quickly and integrate the operations of Summit Healthcare, our Q1 acquisition and have merged their team into ours including the retention of key technical and leadership staff that was an attractive aspect to the deal itself. From a technology view, we have incorporated the product set into our overall road map. As we anticipated, we were able to advance the timing of our own product development targets as a result of the acquisition.
 The spirit and the culture of the new employees has blended extremely well with our existing staff and the impressive capabilities around the professional services expertise added in this transaction makes the combined Consensus team a stronger company. As you'll recall from our last report, ECFax has been selected in the VA sweeping modernization initiative and Consensus provides the cloud network and technology in support of that project. A central activity in this project is achieving FedRAMP certification for security and reliability. This process involves a series of audits and reviews to ensure our system development progress meets certification requirements and are fully on target to meet the expected timeframe for the completion of the process.
 The most recent hurdle was a rigorous review of our resiliency and redundancy, including a series of tests assessing our capability to recover from a variety of disaster scenarios, which we passed with flying colors.
 In further product news, we have announced the official release of Clarity which was demonstrated at HIMSS this past March. At that conference, we executed a live demonstration of an integrated workflow that converted a fax into a structured CCDA message, and filed the information into an EPIC EHR. Our first installation of Clarity is in the implementation phase, and we currently have a sales pipeline of roughly $6 million that we're pursuing for further Clarity opportunities. Incidentally, the demonstration incorporates our cloud fax, Clarity, Summit Exchange and jSign Technologies, all in that EPIC environment. It's posted on our website in the product section, and I invite you to please go to our website and check it out. 
 We are also set to release our first integrated product with technology acquired in the Summit acquisition. Combining our digital fax cloud technology with Summit All Access, we will soon bring to market an enhanced capability for applying event triggers to automatically send digital fax messages, secure direct messages and fax to direct transformations, all aimed at enhancing workflow efficiency and delivering speed in the clinical environment. This capability was created to meet specific customer demands and really demonstrates both the flexibility of our system, as well as the speed with which our cloud architecture allows us to bring product to market.
 Finally, we have also been hard at work completing customer-requested enhancements to our jSign product to meet the needs of our enterprise customers. These include full integration with Consensus Unite, the ability to combine multiple documents into a single envelope. There is measurable pipeline for jSign as well both as an integrated component of eFax or Unite as well as a stand-alone product. There have been a number of questions about how jSign is positioned to compete in the market that has some large competitors, but our approach here is decidedly different from others in the space.
 Our meticulous focus on both security and integrated clinical or health care administrative workflows are significantly differentiated from others in the space that focus on contract management or enhancements to their existing document types.
 Overall, we are very pleased with the operational execution for the quarter from revenue, sales, e-commerce and product engineering. The team has met or exceeded expectations in each area for our full -- first full quarter of operation. 
 And with that, I'll turn it over to Jim Malone, our CFO. Jim? 
James Malone: Thank you, John, and thank you to all those on the call for your continued interest in Consensus. It's always a pleasure to be on these calls when we share the exciting performance of the business.
 With your permission, let me start by going off script by relaying a recent comment from the consultant. The consultant with many years of health care experience, noted that she did not appreciate the complexity and the deep underlying technology involved in an eFax product. I joined the company in January of this year and quickly arrived at a similar observation. The company's technology, products and domain knowledge gives us a leadership position in the markets we serve. As Scott discussed, our Q1 results were favorable and in line with our expectations. I will now share some additional color on the operating results. 
 Our Q1 revenue of $90.9 million was a record for our business. Compared with Q1 2021 of $86.5 million, we had an increase of 5% or $4.3 million. This result was consistent with sell side Q1 Consensus. However, on a constant dollar basis with Q1 2021 rates, Q1 2022 revenue results would have increased by approximately $600,000 and would have delivered an increase of 5.7%. This FX impact is primarily related to the euro and the Japanese yen in our SoHo business.
 Moving to the corporate revenue stream, corporate delivered $46.5 million compared with the prior quarter of $41.2 million, an increase of $5.3 million or 13%. As anticipated in previous earnings calls, corporate revenue at 51% of total Q1 revenue surpassed SoHo. This is in line with guidance for 2022 corporate growth trajectory. Annual revenue per account increased 17.5% to $340, primarily due to increased customer usage. On a sequential basis, the corporate accounts grew 1,000. However, there was a year-over-year decrease in corporate accounts of 1,000. This decrease included the addition of 4,000 of paid ads and a myFax churn of approximately 5,000 primarily related to a planned onetime migration, which has been completed.
 Let's move to SoHo. The SoHo revenue delivered was $44.4 million compared with the prior year Q1 of $45.4 million, a decrease of $1 million or a negative 2.1%. FX-adjusted revenue would have been down $500,000 or 1.1%. Results were in line with our expectations and in line with the range we presented on last quarter's call. Underlying the performance for SoHo performance, paid ads increased sequentially quarter-over-quarter by 11,000. Churn improved sequentially 4 basis points. Annual revenue per account increased slightly year-over-year on a smaller base, delivering usage increases. 
 Our adjusted EBITDA for Q1 2022 was 48.6% or 3.8% lower compared to Q1 2021. The decrease is primarily attributable to planned additional compensation for new hires, merit increases, outside service and an increase in marketing spend, all of which were contemplated in the 2022 budget and guidance. 
 Cash flow. We finished the quarter with a cash balance of $93 million. Cash flow from operating activities were $49.9 million. Cash used in investing activities was $20.8 million, and cash used in financing activities was $1.4 million. As Scott mentioned in the beginning of this presentation, we are reaffirming our full year guidance for revenues, adjusted EBITDA and adjusted non-GAAP EPS. As a reminder, we expect revenues to be between $375 million and $385 million; adjusted non-GAAP EBITDA between $201 million and $207 million; and adjusted non-GAAP EPS between 5 36 and 5 50. 
 This concludes my formal remarks, and I will now return the podium to the operator for the Q&A section of the call. Thank you. 
Operator: [Operator Instructions] Your first question today is coming from Jon Tanwanteng from CJS Securities. 
Jonathan Tanwanteng: I was wondering if you could talk a little bit about the expectations for the SoHo business this year, especially as you take a macro high-level macro view of them. What does that business tend to do during downturns and do you expect similar as we go through this year? 
R. Turicchi: Yes, sure, Jon, so a couple of things on that. One is, I think as you're well aware and for those that are less familiar with the consensus, most of the FX either tailwinds or headwinds affect the SoHo business. As Jim mentioned in the first quarter relative to Q1 of 2021, there's about $600,000 of FX headwinds, notably the pound -- the euro and the Japanese yen. $500,000 of that affected the SoHo business. 
 We believe that will be close to $1 million of total headwinds in Q2 based on current spot rates for those currencies. And as I mentioned in my opening remarks, we expect those to persist through the balance of the year. So while we expect the SoHo business to perform within the range we gave you last quarter as part of our guidance, it probably has some incremental headwinds of another close to 1 percentage point. 
 Having said that, we do see some opportunities to mitigate some of that FX if it does in fact come to pass. And in a second, I'll turn it over to John to give you some of the things and actions that we are taking that will, I think, allow us to operate within the range and hopefully better than at the lower end of the range that we gave you last quarter. 
 Now you asked a secondary question, which is about how the business can behave in a recession. What I'm going to tell, I'll give you some data, but I'm going to give you a lot of caveats, because obviously, the last time there was a major recession, was in late '08 through roughly mid to late '09. So a long time ago, this business was very different in that era, and clearly, the recession in that timeframe, known as the Great Recession was quite severe and unlike what people are expecting now was unanticipated. 
 So I think you got to take all that into effect. Having said that, the company at the time was primarily the SoHo and some elements of the smaller SMB business. What is interesting to note, and if you go back and you actually pull the data, I will tell you the cancel rates are not calculated on an apples-to-apples basis. So I'm going to give you the delta changes, not the absolute numbers because they're noncomparable for 2 reasons: the method of calculation being number one, and the other is that while the business was substantially the cloud fax business, there were other businesses that had crept into the cloud metrics. 
 So with all that as preliminary background information, in Q4 of '08, and you'll recall that Lehman Brothers went bankrupt September 15 of '08. So it was really the tail end of Q3. In Q4, there was almost no discernible impact in the cancel rate vis-a-vis the prior 2 quarters, maybe Q2 and Q3. However, beginning in Q1 of '09, there was about a 40 basis point increase in the cancel rate per month for the 3 months of Q1. In Q2 of '09, it then came in by 20 basis points. 
 And in Q3 of '09, another 20 basis points, such that it was back at its pre-recessionary levels. What I would note is that the cancel rate continued to further decline in Q4 of '09 and beyond. Part of the reason for that is that the -- if you will, the cancels have been accelerated, that would have otherwise come over a longer timeframe into 2 quarters, and so the base that came out of the worst of that recession was a stronger base. 
 So I give that to you by way of historical data, an example, how correlative it will be for this recession, I think, is still yet to be determined because one, it's more anticipatory this time, two, I think it's due to be probably less draconian than that recession. But probably most importantly, our business is substantially evolved from the time of the '08/'09 recession. 
 Certainly, we're talking about 34%, 35% increasing amount tethered to health care, which I think gives us a natural buffer. Obviously, the corporate channels we mentioned is overtaken in revenues, the SoHo channel, which would be the one that probably has the customers that are the most fragile. And so all of these things auger well in terms of mitigating the impact of the recession, but we'll have to see, as I say, how deep it is and then what its duration is.
 Now in the more near intermediate term though, as I mentioned in my opening remarks and as John will expand upon now, there are some actions that we are pursuing for the SoHo channel, in part to mitigate some of the FX headwinds and bring it back to closer to flat in terms of its revenue for the balance of the year. John, why don't you dive into some of those. 
John Nebergall: Thank you, Scott. I appreciate that. We have a number of programs that we're excited about as we look at the balance of this year. First is that we have had a good deal of interest from affiliates marketplace in jSign. And we had a couple of development items that we needed to clean up to make that product optimized for the affiliate marketplace. Those will be finished by the end of this month. At that point, as part of our overall SoHo product set, jSign will be brought into that market through an affiliate channel, and we look at those prospects with some great anticipation. Second, we have been working in partnership with Google to identify areas of improvement, specifically in our search engine optimization program. And we do have some specific steps that we intend to take and that we have been really looking at the data and looking at the information, appear to have a good path to be able to strengthen our acquisition by taking these steps. So we intend to implement those this month and next month and start to get some lift out of those. 
 I'd also say, in general, in the SoHo base, a few things that we saw this quarter that were particularly encouraging. Our overall paid adds improved sequentially by about -- in terms of acquisition, we were able to acquire about 11,000 more paid ad accounts in Q1 of this year than we were in Q4 of last year. The churn has likewise stabilized. We're 4 basis points better here in Q1 of '22 than we were in Q4 of '21. And frankly, we are just about dead even with what we saw in Q1 of '21. So things have stabilized. Our acquisition rate has improved, and we're continuing to see strong average revenue per account driven largely by usage. And that usage is helping us a great deal and I think shows the commitment of the subscribers to actually engaging with the product. 
 As Scott said, we have FX that is affecting our revenue. But as Scott said, we have a forecast for what that will look like for the balance of the year. 
Operator: [Operator Instructions] The next question is coming from Greg Burns from Sidoti & Company. 
Gregory Burns: In terms of Clarity, is that only sold as an upgrade to like the existing Unite or eFax deployments? Or is that something that we sold as a stand-alone? And then what is the typical like ARPU uplift from adding Clarity into the account? 
John Nebergall: Clarity is optimized to work with eFax, so it is really created as a way to use natural language processing and AI technology to take the unstructured data that is typically set in a fax and turn that into structured data that's consumable by a modern database. Our Clarity program, as I said, is optimized to work with eFax. That's how we are rolling it out. It doesn't require that you have Unite. And in terms of overall uplift, there are dependencies on the number of fields that an individual customer may want us to extract and also which kind of protocol that customer wants the extraction to render it. So it can definitely vary from something on per page basis, if you will, from anywhere from $0.25 up to $1. And each of that is going to again depend upon exactly what they're asking us to extract exactly what they're asking us to extract into. 
Gregory Burns: So it's more of a volume based product and subscription, a fixed subscription. 
John Nebergall: Yes, yes, as with all of our products, it starts with a subscription and then there's a transaction component to it that when you exceed limits. 
Operator: And there are no other questions in the queue at this time. I would now like to hand the call back to Scott Turicchi for some closing remarks. 
R. Turicchi: Great, thank you very much, Paul. We appreciate you joining us today for the Q1 2022 conference call. We'll put out a release about various conferences that we'll be participating in over the coming 2 to 3 months, and then we will be also having a release probably in mid-July announcing the exact date of our Q2 earnings call. But that is likely to be sometime in the week of August the 8th. So standby for both of those releases as well as any other information that is of import that we'll put out via press release over the next couple of months. Thank you. 
Operator: Thank you, ladies and gentlemen. This does conclude today's conference. You may disconnect your lines at this time, and have a wonderful day. Thank you for your participation.